Operator: Good day, ladies and gentlemen, and welcome to accesso's Interim Results 2025. [Operator Instructions] I would like to remind all participants that this call is being recorded. I will now hand over to Steve Brown, CEO, to start the presentation.
Steven Brown: Thank you, and good afternoon, everyone. Thank you for joining us. We are pleased to present our half year results, interim results to you today, and of course, take lots of questions at the end. So without delay, let's get started. Obviously, I'm here Steve Brown, Chief Executive Officer and joined by Matt Boyle, our Chief Financial Officer. And as usual, we have a short agenda today. We are going to give you a quick summary, a quick highlights of the year and on the numbers, talk about our progress in terms of our strategy. Matt will review the numbers and then we'll chat at the end in terms of our outlook and our questions. So moving on to Page 5, just quick numbers. We'll breeze through this quickly because Matt is going to spend a lot more time on this in a few minutes. Our revenue was just under $68 million, cash EBITDA at $5.1 million and we ended the period with over $25 million in net cash. Our ticketing and distribution business was up 2.5%. That was propelled by strength in our distribution business. Guest experience was down 21%. That's related to a hardware purchase that we had in the prior year as well as the softness that we saw across the early summer months of June due to the extreme heat, which reduced the visitor volumes, which then means are shorter queues, so we obviously sold less for chilled queuing. And then our professional services business, although on a small base, was up 5% as we continue to support our customers with their specific needs for implementation and extensions that they may need to our software through our RPS team. Once again, diversification is coming into play in our business. I talked a lot about that in the past and the importance of diversifying across our business with products, markets and geographies. And this is a great example where -- while we saw some softness in the summer, our transactional revenue was down about 4%, primarily driven by the June weather. We had extreme heat here in the U.S., and it was even too hot to go to a water park. We saw a very soft attendance across the theme park operators in North America as well as other venues around the world just due to some weather impacts. We'll talk more about that in a minute, but I'm happy to say we seem to be over that hump and June was a bit of an exception. Geographic and revenue diversification. We're seeing that come into play here. We had an uptick with implementation and change request services as we continue to meet our customers' needs with their specific request applicable to their business. Our maintenance support business was up about 15% and we have revenue now coming in from the new business we brought in across Saudi Arabia with Qiddiya as well as Skyline in Australia, New Zealand. And so you can see the overall picture is helping kind of offset the weakness we saw in the summer from transactional revenue coming in other areas of our business as we continue to grow. I want to spend more time on the next section, which is our strategic process -- progress. And you'll remember at the beginning of the year, you would have seen these same 4 bullet points. And we laid out a strategy at the start of the year. To really do 4 things: to accelerate the pace of our wins, increase our basket size from our customers, continue investing in new technology and also think carefully about how we leverage our capital and our cash in particular. And I'm really happy to report kind of where we are on each of those 4 points. So in terms of new wins, if you look at on a revenue basis, so we think about a win -- I know we report the counts, 28 venues, 38 venues, 39 venues, but really what matters is how much revenue is coming from those wins because obviously, all wins are not treated equal. And if you look at a revenue basis and we track that based upon how much is the client worth on a 12-month basis. Whether they sign in February or November, on our end, we're looking at what are they going to be worth on an annual recurring basis. And if I look at what we've signed at the end of the half, our revenue basis was nearly double the prior year, almost 90%. So we've almost doubled the amount of revenue -- new revenue that we booked, and our sales pipeline has doubled. I just looked at it on Friday. And last year at this time, our pipeline here today in September was about $12 million. And right now, it's at about $24 million. So we've increased our pipeline, and we've really increased our win rate and the size of the wins that we're bringing in; a very important success for us as we think about increasing our growth rate going forward, and the actions we've taken to get there. I'll talk more about that on the next slide. We're also seeing continued traction with Freedom. You see the number of wins we've received. We went from 11 venues to, I believe, 38 or 39 venues now this year. And we have a very strong pipeline. Again, I just reviewed that. We have 48 current customers that we are working in the Freedom pipeline. Obviously, all those will not sign, but it just shows you the strength of that particular product. We also signed our first theme park for Freedom. It's a theme park opening here in the United States in 2026. That's alongside Passport. And so overall, we're really working to increase that basket size and bringing Freedom in alongside Paradox or alongside Passport allows us to increase our check average with each customer. We're investing in new technology. Third point, our composable commerce project. We had our first pilot this summer, the initial phase sort of Version 1.0 of composable commerce kind of road tested it. And that's going to become a very important element for us as we think about the next generation of e-commerce and also expanding that strength beyond just Passport and leveraging our e-commerce prowess across Paradox, across Horizon, across the whole product set. And that's really what composable commerce is going to allow us to do. We're continuing to roll out Paradox. We're seeing success with converting series for our customers, and also they're going to get the benefit of composable commerce as they move over to Paradox. Of course, I have to use the word AI. It would be -- not be a results presentation without the use of the word AI somewhere. But importantly, we're thinking carefully about AI. And I think you probably have all seen AI for AI sake being listed in presentations. And perhaps we've been a little quiet about it in the past because we've been thinking carefully about how it should work in our business and not just chasing technology for technology's sake. And we have a couple of really cool things that are in flight in terms of product enhancements. I'll talk about that in a moment. And also the use of AI to drive efficiency, efficiency in our programming, efficiency in our operational support, efficiency in our commercial process. For example, answering our RFPs that have thousands of questions sometimes and leveraging AI to help us speed that up. And fourth, our use of capital, we had an acquisition earlier in the year of 1RISK, which is a digital waiver product that's very important to us, and we continue our buyback. And again, Matt will share more on those details. And Matt is also working on a structured capital allocation framework so that we have a model to follow when we think about how we leverage our cash and the sort of decision tree process to follow around how we and the Board all think about the use of our capital. Talking a bit more about the commercial strategy. This has been a very big focus for us, and you will have noticed that perhaps in our statement today. But as a business inside of our group, we have spent a lot of time and a lot of energy thinking about our commercial strategy, and how we propel our growth rate. So thinking about our go-to-market and how we approach that, how do we increase our pipeline, how do we increase our win rate? How do we improve our deal size. And there are a number of things we've been taking action on to get there. First of all, we've enhanced the sales enablement. And people say, what are the heck of sales enablement. That is all the work we do behind the scenes. So you have a sales director out in the field. But there are a lot of resources behind them supporting them with demos, proposals, presentations, all the things that they need to be successful. And one of the things we've done is allocate more resources into that area, so that our sales directors can be more polished and more prepared and also move more quickly with their sales presentations and their responses to customers. We've increased our win rate, a lot of focus around getting that customer across the finish line. Getting to 90% isn't good enough. We've got to get them across the finish line. We had 36 product wins in the first half of the year, which is an increase of 11% year-on-year from a percentage basis, that's a pretty big jump in our win rate. Our new offerings are doing well. As I mentioned, Freedom had 20 wins in the half. We now have 39 in total, and as I mentioned, 48 in our go-forward pipeline. We've also seen higher transaction values. So when a customer signs, what are they worth on an annual basis? Are they worth $00,000, $00,000. What is that value of each individual win. And we've seen that increase by about 82%. So pushing double in terms of the value of our wins, meaning we're winning bigger customers and also that they're taking more products when they sign with us. And importantly, last but not least, we named a new commercial leader to our Group. He actually started yesterday. We're really pleased to welcome Mike Evenson to the group. He brings a tremendous amount of experience and it's really just going to be a great fit for our group. It was a long search, a very careful search. It took us, obviously, until now. But I wanted to make sure we really found the right leader that was a fit for us culturally that would understand our customers, understand our markets and importantly, had a sense of our technology and his background with audience view of nearly 15 years, which is a SaaS-based ticketing platform, sets him up for great success with us as we move forward. So we're really pleased to have him on board. In terms of the other bullet point, innovation and investing in our technology and leveraging AI and Passport, a few highlights. We've done a lot more than this, but a few highlights for the page. In Passport, we released our commerce API. So allowing customers to develop their own front-end e-commerce or purchasing applications if they have use cases, where maybe they want to create some smaller widget to sell tickets or they want to build their own e-commerce. We've now released a full commerce API allowing them to do that. We've had 1 customer pilot that. But again, it keeps us competitive because other suppliers often have the API. It's not always used. But importantly, it's important to have that flexibility for customers because sometimes they have these unusual use cases, and they want to create something themselves and allowing them that opportunity is very important from a competitive perspective. We've enhanced our checkout flow, conversion rate is super important in Passport e-commerce, and we've also finished the rollout of V6, which is our latest update to Passport. We finalized that across our customer base. We had to wait for seasonality. We can't roll things out, for example, during the middle of the ski season. So we finished those up as soon as the clients were in a position to do those updates. In Paradox, we did a very important integration with a company called Inntopia, which is really very popular to ski industry for packaging the overall bundle, hotels ad tickets, for example, and having that integration with Inntopia aligns us with the market leader in that space across the ski industry. We did a lot of enhancements on snow school, which is where you book your lessons, making that product even easier to use and more feature-rich for our customers, particularly the ones moving from Siriusware over to Paradox to make sure they have a really great upgrade on those features. And we continue to migrate and prepare for the broader migration Siriusware customers over to the SaaS product that is offered by Paradox. Accesso Freedom. The product itself is very, very feature rich, and it's interesting when we do demos, and we've done many, many, many demos this year. We rarely have a comment on functionality. It's more questions about implementation or their particular use cases. And so a lot of our work we're doing in Freedom is really about go-to-market and things we might need to make sure we can hit our full addressable market. One of them, for example, is Quebec has a new compliance for tax requirement. And it is just actually waiting to effect in July. But in order to sell in Quebec, we needed to be integrated with the government and their tax compliance system, which is actually quite complicated. So we finish that, which will allow us to sell primarily across our ski customers in Quebec, which there are many of those for Paradox. We also have added room charge functionality, which will allow us to go more into resorts. Think about ski resorts that need room charge back to their hotels, think about venues in Las Vegas that might need room charge capability, and that was a really important development item for us. We've also expanded our integration features that we offer between our products. So some of the detailed functionality between, say, Freedom and Paradox or Freedom and Passport, we continue to progress those to make sure that we have everything customers are looking for. Composable commerce, I already mentioned it will bring market-leading e-commerce to Paradox. Think about the Passport level of e-commerce, our crown jewel, Think about that now being available on Paradox. That will happen in 2026, and we'll upgrade password e-commerce, again, starting in '26 and across 2027 into the new composable commerce model. And that importantly gives us the pathway to begin offering e-commerce across successful Horizon customers where today, they have to develop their own using the Horizon API, and we don't have that transactional revenue opportunity. Composable commerce in this new model will allow us to place that alongside Horizon, which is a really important strategy for us. AI, as I mentioned, we're enabling the model context protocols, basically making our system compatible to use all the tools of AI. And we've done those releases across Passport and Freedom, to make sure that we can leverage those tools that are out there for commerce, to sort of skipping the technical gibberish. Really cool thing, we'll be debuting this at IAAPA in November is we have a voice-enabled chatbot. It's a prototype, but I would say it's basically market ready, allowing you to voice order tickets, voice order food and retail. Again, keeping ourselves on the front edge of how other products are evolving and importantly, showing our edge towards innovation in the market. This is something that it seems like it's not a lot of people doing it yet, but our view is this will get adopted very rapidly, and we need to be ready and have those capabilities available for our customers. So you can say, "Build a London Eye ticket for tomorrow at 10:00 a.m. " And the chatbot can do that for you and then run it across your Apple Pay, for example. And last but not least, we've done the Passport language model integration, and that allows us, if you think about Passport in all the different regions we serve and how many translations we have to do for languages, leveraging the AI model that's available for language translation will help us tremendously in terms of efficiency and being able to support those broad range of languages that we do today. I think Passport supports over 30 languages. And I believe about 15 of those are versions of English, believe it or not. And so having this model will really help us in our deployment and our development process. Matt will talk more about this, but it was the fourth pillar in our strategy for the year in terms of how do we use our capital in the business. Two things, really 3 things here. One is the acquisition strategy. In the half, we did make 1 acquisition, which was of 1RISK, which is a liability waiver application. And if you think about a ski resort, every customer signs a waiver, a risk waiver. If you think about a trampoline park, if you think about rock climbing, you think about any kind of venture experience, you sign a waiver. And in the ski industry, this is absolutely central to their business. And we realized that essentially, we were integrated with 1RISK across all of our customers, and we were relying on a third party for that product. So it made a lot of sense for us to bring that in-house. We can now enhance our integration and offer a more robust product to the marketplace. It also gives us a competitive differentiation because now we have the market-leading waiver application as part of our product set, exclusive to our integrations. And this has really been very well received across the ski industry in particular. And we're looking to leverage this across Horizon with some of our implementations in Saudi Arabia. We already leveraged it across Passport and of course, across Paradox. Our buyback continues. As you all are aware that operated through H1, it continues today. We are about halfway through the target of that buyback that we started earlier in the year. That target was about GBP 8 million, and we're about halfway there. I think if you look at where we are today, we've passed the halfway point. And last but not least, and Matt can talk more about this, we are developing that structured capital allocation framework, just to give us more of a road map on how we think about the use of our cash going forward. And thinking ahead as we continue to build our cash about how we would leverage that to maximize shareholder value. So those are the highlights. I think what's important is we laid out 4 key strategies at the beginning of the year. And our team has done a great job of really focusing on those 4 items and making sure that we not just meet them, but we've exceeded those deliverables. And despite the headwinds we saw from some trading volume in June, overall, we are on track with all those particular objectives. Our pipeline is incredibly strong. Our win rate is increasing. And I wish I could control the weather, but other than the extreme heat that really knit us a little bit in June. I'm extremely confident about where we are. And as you look past June, it was like a turning point. We got past July 4, and the volume just turned back more to what we would expect. In terms of overall numbers, we basically made up in July what we lost in June due to the heat. And now what we've seen is things are more on track with our expectations. And so we did have that little bit of a wobble, but overall, it seems like we're back on course with our expectations. We have a few months to go, obviously, the important Halloween season. So it's too early to call the exact result. But it's important not to let that heat from June weigh too heavily on your minds because we got past that point and really things are back to normal by all accounts. And the other thing I would add just in commentary about the market is the operators realized or have realized, obviously, the softness they saw in June was heat-related. So you can't overreact to that, right, because you would run a bunch of discounts that were unnecessary because once the heat is gone, you might not need them, but they have really fine-tuned their promotional strategy. And if I look at the reports across July, across August, we're seeing very strong volumes from the operators as they have now adapted to the current consumer environment, and they're pushing to deliver their attendance numbers, not just through discounting, but through packaging, through marketing, through promotions, through their PR, all those different elements seem to be firing on all cylinders. And without the headwind of the heat, the weather against them, they seem to be actually doing much better than they had done earlier in the year, and the volume numbers have looked really good for us since the end of June. So with that editorial, I'll turn it over to Matt, and he'll walk us through the numbers. And then we'll have plenty of time, obviously, for questions.
Matthew Boyle: Thank you, Steve. So hitting the key financial highlights. Steve -- Steve went through them earlier, but on a more detailed basis. You see our revenue was down 1.9% of the headline. There are actually a few adjusting items to think about in there. We exited a B2C business back in early 2024. We also sold a Brazilian subsidiary back in January '25 of this year as well as the fact that we had this large hardware sale of $1.8 million back in H1 2024 that wasn't repeated. So on a constant currency basis, if you exclude the hardware, we're actually 1.2% ahead of where we were this time last year in the prior period, which was strong given the circumstances and certainly the volume headwinds that we had in the June period, Steve went through. We had an improved gross margin. So you see there the jump from 76.2% to 78.3%. Again, I think that majority -- the overriding reason for that is because of this hardware sale. So the hardware sale for us is a low-margin line in comparison to our SaaS and services and SaaS, in particular, is very high margin for us. And so you see that jump there of a couple of percentage points. And cash EBITDA was down to $5.1 million, which I'll cover the reasons as to why on a later slide, but predominantly the increase in our underlying admin expenses. And our net cash was up to $25.4 million, and that's quite a big jump from where we were in June 2024, again, there's a detailed slide on the cash flow later on that highlights the strong free cash flow that our business has and the uses that we make of it. Proceeding to the next slide, I've just got a split and those of you who have seen this slide before will be familiar with it. You see on the right-hand side is our split of revenue mix effectively. And you can really see the impact of the things that we're talking about there, where our transactional volumes, so the great percentage mix piece is down from 74% to 72% of the total, that's the volume headwinds as well as the other piece, so the [ luminous green ] being down from 6% to 3%, which is the hardware drop and they are being offset by the other repeatable and the nonrepeatable piece taking more of a share of our overall mix, which I'll come on to a little bit later shortly. And again, so those who have seen this presentation before, you'll be familiar with this slide. So we break down our revenue into the various different types that we have, transactional repeatable, nonrepeatable or other. And you can see there that the transactional revenue as a headline was down 3.8% on the prior period, but there's really 2 stories in there. The virtual queuing and the ticketing, both down as a result of the softness that we saw predominantly in June, but really there from April onwards, but not as pervasive and that's offset somewhat by the increase in distribution revenue. So the distribution channels that we operate act as a key strategic enabler for a lot of our venues to navigate the promotional discounts that they're offering in quite a rapid basis and respond to changing demand and changing conditions, which is positive asset and just another string to our bow. And then working your way down the table, you'll see that the total repeatable revenue is 2.5% down, but that's down lower than the transactional volume because of the increase in the maintenance and support and the recurring licensing revenue. They are predominantly accesso Horizon driven, but the increases certainly are at this point as a number of our larger implementations start to go live. And Steve mentioned a few of the brand names there, but we have a number of projects in progress out both this year, next year and thereafter, such as in the Middle East. And you'll see there a 15% and 25%, a 25.6% increase, respectively, on the maintenance and support and recurring license fees. And then you get to our onetime nonrepeatable revenue. And we've broken this down into a bit more granular detail this year to give it slightly more color than we have done in previous years. And you'll see that there's a new line implementation change of there is some billable services which is really the onetime work that we're doing for a lot of our customers, whether it's the implementation, the initial implementation of the product, or whether it's a change request for feature enhancements or road map acceleration or whatever it might be; again, another string to our bow, so to speak, that we're there to be able to respond to a customer's demands and really highlights the fact that customers are willing to invest in our products as well, which is great. And highlights mission-critical place in a customer's ecosystem. And then lastly, at the bottom of the table there, you've got the hardware revenue dropping 85.6%, and that's the hardware decrease, the accesso Prism, the sale of $1.8 million that wasn't repeated in the current period, and that they are all of the revenue by type. Taking you through our full income statement down to the profit before tax, the revenue piece we've covered and the gross profit we've covered, the jump there being predominantly in the mix and moving away from our hardware sale in the prior period. Really to talk about is the admin expenses, administrative expenses. So on a reported basis, they're 0.6% up on where they were in the prior period. Really, we look at expenses on an underlying basis, so stripping out that depreciation and amortization piece. And on that basis, they were up 4% on where they were in the prior year, up to $48.5 million. And included within those underlying expenses, we had an FX cost headwind. So we had about $1 million of cost resulting from revaluations of non-USD assets and other foreign exchange losses in the year, whereas in the prior year, that comparative figure was $0.8 -- $0.4 million, so a $0.6 million increase there. On a constant currency basis, our underlying admin expenses were about 2.4% up on where they were in the prior year. And that's really reflective of broader wage and staffing inflation that we've seen on a relatively consistent headcount. You'll see in our head count there has dropped from 682 at the end of December '24 through to 675 at the end of June, and that's inclusive of hiring 7 heads from the 1RISK acquisition that we made. So really managing that head count robust state, but there are some aspects, whether it's health insurance, whether it's broader wage inflation that we continue to manage as tightly as we can, but experience the level of cost increase. The other piece to highlight on here is the net finance both income and expense numbers here. So in the current period, we actually had net finance income of $0.5 million. which is reflective of the fact, again, of a $0.9 million positive revaluation of our USD loan, so creating an FX gain in our net finance income. And then that in comparison -- in conjunction with the fact that we've just had lower drawings for the period. So we were about just shy of $19 million with our average drawings through the early part of 2024 and we're around about $10 million drawn through the early part of this year. So the lower drawings, lower interest expense, and you can see the interest expense dropping there and as well as the finance income resulting in a -- quite a marked increase in profit before tax, the $1.8 million versus $0.3 million we had in the prior period. Taking you through from cash EBITDA. So again, cash EBITDA have been our principal operating metrics for the past 5 years or so. And this is showing the movement from operating profits through to that cash EBITDA metric. And you can see in the top layer, operating profits up to $1.3 million versus $1.2 million in the prior period versus cash EBITDA being down on a prior period. And really, that's reflective of the fact that we've got movement in the reconciling items there between the two and mostly driven not only through the amortization lines. So 2 amortization lines in there, really, it's the amortization on acquired intangibles. So we last made an acquisition 2 years ago at this point. So we've got the runoff there as we get further away from making from those original acquisitions, the amortization charge decreases through to the runoff effect. So we're down 14.6% there. And the other piece is the R&D capitalization/amortization that's been in this business for the past 5 years, you'll see there the amortization on R&D is $1.6 million versus the capitalized cost of $1.6 million or $1.54 million at the moment, almost equal to each other. And that hasn't been that way for quite some time. You see in the prior period, it was $2.3 million versus $1.2 million. We're getting to a point now where they almost equal each other and that -- those large amounts of capitalization that were done in the period to pre-2020 prior to Steve and I's time are now starting to run off completely and we don't have an impact of that in our P&L, which is growing. And then lastly, the cash flow side, to the key points to highlight here, which should peak interest. You can see there, and we spoke about this again in previous presentations, the working capital movements that we have. We have some pretty large swings, particularly when our cutoff periods are June and also at December at the year-end where we have seasonal peak trading. And then you add in the fact that the business -- 1 part of our business, the distribution business collects gross cash flow. So quite a lot of the time is collecting the gross ticket price that is flowing through our balance sheet, whether it's an accounts receivable and out through the other side of an accounts payable. The movements are there around the cutoff period of June and particularly impact our working capital. So you see the swing there from a $40 million outflow in the prior year to a relatively fat $477,000 income in the current year, which is really just a snapshot. We generate free cash flow throughout. But if you're taking a snapshot in time, that's what it ends up looking like. It reverses relatively quick thereafter. If you look back at December, you'll have seen a similar story and the inflow comes in the preceding on the subsequent 6 months as it did this year. The net cash, actually, the number that we've got at the bottom there, $25.4 million this year and $18.2 million at the end of the prior period does include the impact of that pass-through cash. So there's about $5 million of cash related to Ingresso in the current period, the distribution business and again, $2.8 million roughly against the $18.2 million that was in the -- at the end of June 2024. The other 2 key items to highlight here really, and they feed into the capital allocation piece that Steve was mentioning earlier. Firstly, to talk through is the purchase of intellectual property is the 1RISK acquisition with a little bit of the balance of cost on our improved corporate website that will go live later this year. And then the final one there is the $5 million on the purchase of own shares for cancellation. So -- at the end of June, we were at $5 million, which is roughly of $10.5 million in total, which is GBP 8 million. At the end -- so as of Friday last week, we were at GBP 6.6 million, so roughly $9 million of the $10.5 million, so about 2/3, just over 2/3 of the way through, which is a total of 1.4 million shares being purchased and canceled. So around about 3.5% of our shares in issue at the time we started this program. So really positive and we will have a continued impact on our earnings per share number and forms a key part of our capital allocation strategy. And just to talk a bit more about that briefly before we -- and we don't have a slide yet on it, but we will do in future presentations, is really going to outline, what is our decision tree analysis, how are we thinking at Board level of how we spend our free cash flow. I mean you can see there we've jumped from $18.3 million at the end of June '24 to $25.4 million at the end of a year later, and that's despite spending on intellectual property and despite spending $5 million on shares. So a marked increase in cash and generating free cash flow. So how are we making best use of that? And previously, this year, we've obviously been making use of share buybacks. But really, we're going to outline our thought process. So how do we work through that? Is it mergers and acquisitions? Is it distribution? Is it buybacks? But putting a bit more color to the decisions that we're making, I think, would be worthwhile and providing the level of framework that we haven't otherwise done before, which is something we'll look to do in the future. That's largely it on cash flow. And then on to summary and outlook, and that is unchanged. So we gave this guidance in April post results. We revised it slightly to say we'll be at the lower end of the revenue expectation when we came out with our trading update in July, but our margin guidance remains unchanged at approximately 15%.
Steven Brown: Thank you, Matt. So now with the formal part of the page turning done, we will open up the rest of the time for questions. And I'm sure there are plenty of those for us.
Operator: [Operator Instructions] Our first question is from Tintin Stormont from Deutsche Numis.
Tintin Stormont: Can you hear me guys?
Steven Brown: Yes.
Matthew Boyle: Yes.
Tintin Stormont: I'll do 3 in case it doesn't come back to me anytime soon. First, on the new wins. How should we think of the time to revenue from these wins. So when you win the deal and then obviously the time to implement, is there any bottleneck that we should be sort of kind of aware of any risk of bottleneck there? Do you have -- have you got the resources to be able to get them all live when the client wanted to, et cetera, et cetera, especially given the greater success you're seeing. And then secondly, in terms of the much improved win rates, could you maybe just delve a bit deeper into where the improvements are? Is it in deal discovery origination? Is it slicker, more targeted pitching conversion? Are there any changes in the competitive landscape that we should also be thinking about? And then lastly, in terms of Mike's arrival, what would you say is the top of this agenda, if you could speak on his behalf.
Steven Brown: All right. Well, as the Interim Chief Commercial Officer for the majority of us here, I'm more than happy to answer those 3 questions. In terms of implementation, we're in great shape. We -- one of the things we've been disciplined about is even when the win rate dropped is maintaining our resources because those are highly trained individuals that know our products very, very well. And cycling those positions is not something you really want to do. So we have a strong bench for implementation. And of course, our operations team can spot them as needed for some of the work. So we don't really expect any issue with the implementation, and we're careful with how we schedule those. The majority of time when we have a delay on implementation, to be honest, it's the client often underestimates the complexity that they're about to embark on, and they have not allocated enough resources on their end. And so that really ends up being more of the equation in terms of their responsiveness just because they have day jobs, too, and now they're implementing a new system. And so that becomes more of the time line issue, and we try to help them as much as possible to work around those things. Where are the improvements? I think one of the important improvements was just reorganizing the team a bit. And we had drifted where we had too many of our salespeople trying to sell everything. And to be a really good expert and to talk your game, you need to know the product. And knowing a little bit about a lot of products is not as efficient as knowing a few products really well. And so I think that's helped. They're not as scattered as they were. I also think we had some confusion around how do we sell Horizon, how do we sell Passport. We've tightened that up. I think a lot of it has been our response time to customers. I really worked with the team on that. If a client asks 3 follow-up questions, you get 3 follow-up answers same day and making sure that the organization is supporting them on answering those questions because they don't really know the answers all the time. They need a technical answer. They need a product answer. They may need a financial reporting question answered and making sure the [indiscernible]37:52 team all rallies behind them to get those back as soon as possible. And I would say one more item is showing up more in person. It's something that as you try to manage cost, which you can see we're doing quite aggressively, you tend to be a little careful about traveling. And I've encouraged them to be less careful, to be honest, because I'll give you a great example of the theme park that we won, which was a really good win for us here in the U.S. And the team went -- this is early on in the year. The team went, 2 of them, sales engineer, sales director in person. It was a half a day demo, took customized meeting materials, reflective of the clients' brand, did all that and really just did a fantastic job. The main competitor dialed in for a 4-hour demo on Zoom. And so you can imagine how we fared in that and how we could respond to the questions when you're eye to eye. And so I think just getting them realigned around our approach has made a big difference. And it's not just the ones we're selling to, but our pipeline has increased substantially. And I think a lot of that is all the same things. How fast do you respond to a lead, how much time are you dedicated to outbound outreach, how are you handling trade shows? And we've just kind of rethought all those different parts to make sure we're generating those leads and getting their attention. And I know we talk about the website, and it seems relatively straightforward. But with our product set and having acquired 1RISK, having acquired Paradox, having acquired -- having Horizon now in the mix, and we have Freedom, we really needed to step back and rethink our whole go-to-market proposition in terms of how we communicate and so it wasn't about an outdated website. It was about rethinking how we now deal with this expanded product set in a much more straightforward manner. And so it's been a lot of mapping, a lot of creative, but probably 20% creative and 80% mapping and logic of how do you communicate better. And we've already started using that in our communication, but the website is really going to be an important tool for us. And so we've done all this so far without the website and without the traction from what we've been building in the last 8 or 9 months. So I feel very good about where we're going and what Mike is walking into now is in a really great place. I think if there's one priority for him, and it's to be very hands-on, we're selling big-ticket items here. And those sales directors, as skilled as they are, they still need support. And me being able to dial in and call the client, me being able to help them nudge their proposal just a little bit, being hands-on is his #1 priority. It's just helping them with that experience that he brings, that I've been bringing and helping them just round out their presentation, round out their responsiveness, another set of eyes on how we're presenting things. Editing proposals to not have the word fee show up 15 times on 1 page, things like that, that just psychologically play into our presentation. That really him being hands-on is absolutely a #1 sort of operational, I think, priority for him. And beyond that, I would say, helping us build out our global framework a lot more. We have a sales team of 3 handling all of international. And we're sufficiently handling the demand we have, but we need to create more demand. So how do we do that? How do we do that with international marketing? How do we do that with our trade shows? Our domestic or our U.S., Canada lead generation and sales team is really quite refined as our international team is, we just need more of it. And so how do we scale that team? How do we get our product and our message into these markets a bit deeper so we can increase our penetration outside of the U.S., outside of the U.K. So that will be his main priorities.
Operator: Our next question is from Katie Cousins from Shore Capital.
Katie Cousins: Sorry, can you hear me?
Steven Brown: Yes, Katie.
Matthew Boyle: Yes.
Katie Cousins: Just 2 from me, please. Going back to the pipeline. Just interested in a few more details around that. And if it's skewed to a certain geography or service that you provide? And also, is it conversations with existing clients of expansion? Or are these completely new sites or customers? And then a bit more -- second question is a bit on 1RISK, and how that fits into the current offer? And are you offering that as an additional revenue to customers? And any development spend needed on that product?
Steven Brown: So the pipeline is really across all areas. As I mentioned, Freedom has a pretty good pipeline. And our pipeline is weighted. And so when we look at our pipeline, we size the opportunities and we apply a weight. So if they just called us up, right, hey, how are you? They're probably weighted at 0 in our pipeline. If they've done a demo and they showed some interest, they might be at 10% or 15% weighting in our pipeline. If they're in the negotiation phase, they may be at 50% or 60%. So it's a weighted pipeline. And that allows us to have a more disciplined view of around what the real opportunity is. And it's across all products. And there are some larger ones in there that may be Horizon because those check averages are larger. There's a lot of volume around Horizon. There's quite a bit in Paradox because we're seeing the demand of the Siriusware customers looking to move to Paradox and how we're working those leads. But the majority of it -- the vast majority is new venues, new customers. We're installing or we just are contracting with a new museum in Nashville for a very popular singer. There are things we're working on in Dubai that are quite interesting. So there's a whole range of things in there and the vast majority of it, because our sales team, yes, they sell additional products like Freedom, but a lot of those are add-ons that our operation team is handling. Our sales team is really focused on new customers as their priority or in the case of Siriusware getting those customers moved over to Paradox onto the SaaS model over to Passport, that does follow our sales team. But I would say, by and large, it's new customers, and I can certainly quantify that and give you a follow-up answer. But by and large, Matt, would you agree with me on that?
Matthew Boyle: Yes. No, yes. definitely. It's new venues really rather than new products and event at existing?
Steven Brown: And in terms of 1RISK, it's a really healthy product. They were a small business, 7 employees. That's not a very big company, right? But they've done a lot with a small team. And they had 150-plus venues they were serving. We're going to roll those into our operational flow and operational process. It will become embedded as part of our support model. Right now, we're still in that sort of transition phase of making sure the customers are being supported with what they had already signed up for. But if they're buying Paradox, for example, when they're on the transaction-based SaaS model, 1RISK will be included as a feature of Paradox. If they're still using Siriusware, they would pay for it under their contract. And if there are customers out in the market that want to use it on a stand-alone basis, not integrated with any ticketing system, just a stand-alone waiver system, those would also be available. But the only integration to an e-commerce platform, for example, or a point-of-sale platform will be an accesso product. And so we bring -- we brought the market-leading waiver, which is a must-have into our product set. And the other customers that were using the product are now looking at a second tier or third tier product because they don't have that integration available anymore. So it was very strategic for us. And it wasn't a large acquisition. It was more of a buying a product feature. It's a huge differentiator to have that integrated in our system. And because the integration is for us now, we can do a lot more with it. When it's a third-party application, they're having to please everyone. And so the integration has kind of become the lowest common denominator. And now that it's ours, we can really take that to the next level and make it much smoother. We're already doing that, make it much more integrated, much more intuitive because we now can control essentially that product road map. And so our product will be even more superior to what it was previously and another leg up, so to speak, on the competition, particularly in the ski market.
Operator: Our next question is from Jon Byrne from Berenberg.
Jonathan Byrne: Jon Byrne here. Three questions for me, if you don't mind. So firstly, as the Middle East rollout progresses, can you maybe give us a steer on what the potential contribution from that geography could look like and what you expect the revenue sort of ramp-up profile to look like over the next few years? And then secondly, on virtual queuing, can you give us any more color on the revised commercial agreements you cited in the statement? Is that for lower price terms and sort of likely to impact going forward? And then finally, on margins, you mentioned AI efficiencies. Is there any other areas that you're focused on from an operational efficiency standpoint? And what do you see sort of potential benefits from that program being?
Steven Brown: Yes. The Middle East rollout, the main one we're focusing on now is Qiddiya for the opening of the theme park and the water park here in the next few months. We're doing everything on our end to stay on track. Again, we're subject to the construction time lines that they're dealing with there. But overall, things seems to be progressing well. They are highly focused on opening the theme park this year as they've committed to. And by all accounts, they seem to be, from our view, on track with that. We can't control it, but they seem to be on track with it. And once that is fully rolled out, there's always enhancements and follow-ups, things they think of later they didn't think of on the front end. That will be enhancement-type work that we'll be delivering, I'm sure. And then it turns into a maintenance and support model. Importantly, on those -- on that and another engagement, if you think about VGS when we bought it, now Horizon, they did not offer the opportunity to help the customer run the software. They basically sold them the software, help them install it and then the client was left to run all the server environment, which is actually quite complex for that scale. In those Middle East engagements, we've now -- we're going to be signing them or have signed them. I'm not sure today -- this time of day if it's signed or not, but we're going to be running those for them under our professional services team as site reliability, managing their environment for them. So we've extended our opportunity there for them beyond just the license and maintenance into actually operating the software for them and managing their servers, their security environments and all of that, which is an additional check average for us, a check item for us. And it will add hundreds of thousands of dollars of margin to that deal. And we have that process running and proposing and contracting across a number of customers. They don't really want to run these things, to be honest. And the fact that now is the broader accesso team, we can offer that to the rising customer base -- it's been very well received that we can bring that expertise and allow them to run their business instead of sort of running servers. And I think we'll continue to see opportunity coming from that. The Middle East overall, there are -- there's still another project there, which is 7 also by QIC. It's in its construction phases. We can't control the timeline there. That will continue to evolve. And there are a number of other leads we're working on in the Middle East that I honestly, unfortunately, can't comment on. It's interesting that area is becoming very competitive. And the details, even the systems they are choosing are important. And more than I've seen, honestly, previously, the NDAs that are being required are actually quite steep. And so you'll find us using our words carefully when we talk about Middle East and the opportunities there just because the sensitivity in that particular market seems to be a bit enhanced from what we dealt with in other areas, just to maintain, I think, their competitive advantage or whatever they're concerned about. But we have a number of opportunities we're working on there. Some of them are quite large. I think Disney World large, very large. Some of them are smaller, water parks, resorts, different things like that. But I think now that we've planted the flag with Qiddiya, we've certainly gotten the market's attention. The VGS team already had its attention. I think now even more that we have these broader capabilities, we're going to continue seeing that growing. I think it will become a very important market for us. Particularly for Horizon, it's just so compatible with the languages and currencies that it seems to be appealing. That said, there are some projects that Passport is a better fit for, that are being considered. So I can't comment on the number, but it is going to, I think, become a significant area for us over the next 3, 4, 5 years. In terms of the virtual queuing that we mentioned in the trading update, again, there's some commercial sensitivity there. But as we indicated, the client has -- was leveraging 2 products, and they have informed us that they don't plan to enter a new contract after this one expires on the queuing side. But on the other hand, we've extended our e-commerce agreement and with revised commercial terms that, to some extent, some material extent, offset the impact from the other agreement not being -- the new agreement not being executed. And so it was really balancing a bit. Some of that was bringing the e-commerce rates to market level, honestly. Some of these legacy contracts that have been around for a very long time, have a market rate adjustment that is appropriate. It was honestly more so about that. And coincidentally, it allowed us to kind of offset some of that -- some of the impact from the other agreement. And last but not least, in terms of efficiencies, one of the things that Lee, who is our Chief Operating Officer, is working on with the team is organizational, I hate to say, realignment or maybe it's more of alignment. And especially as we again, almost like the website, we have all these different products now. And the last 2 or 3 years, we've added several. And just thinking how we bring those to life for customers operationally when a customer may have -- they may have Paradox alongside Freedom. They may be even using Lo-Q, they might be using Ingresso. And how do we service them, so they're not calling 4 different departments. And in doing that, can we be more efficient with our resources, both in terms of service model, better service for the clients, but also in terms of the number of people that it takes to deliver that. And can we just become more efficient as a business if we realign and think about how to realign some of those processes. So -- and not to just say it as a token point, but actually, AI is an important part of that because how can we leverage some of the tooling to increase our efficiency around how we handle routine service tickets, how we handle questions that come in, the questions that come in about how to set up product, can we give them user guides that are automated, prompted around how to use the system, things to reduce the workload coming into our team that today is manual. And so it's beyond just let's use AI to build something cool. It's also how do we give these tools and maybe these realigned -- how do we give these teams and the realigned teams further tooling that has continued to become available to help them move more rapidly, which as we continue adding more customers, which we're doing, obviously, quite rapidly, maintaining our headcount, keeping our cost as tight as possible, hopefully reducing our cost. But how do we do that with some organizational realignment as we continue to add. And that's really -- there's a sprinkle of AI in that, but it's really about the overall structure and how we realign and how can we gain some efficiency there.
Operator: Our next question is from Oliver Tipping from Peel Hunt.
Oliver Tipping: Just a couple of quick ones from me. The first is probably for Matt. Just looking at the sort of cash EBITDA metric that you guys have used for the last few years. Are you thinking about changing that back to a sort of more standard operating profit metric versus the cash? Because obviously, now the CapEx and the D&A are much more closely aligned than they have been in the past, which I think was the original reason why you sort of switched to a cash EBITDA. And then just secondly, on the Freedom opportunity, how does the e-commerce market compare to sort of original food and beverage market in terms of opportunity for you guys. I imagine it's more applicable to a much larger number of your clients? Or do they all seem to all have both e-commerce and F&B?
Matthew Boyle: Yes. Thanks, Oliver. So I'll cover the first piece that you mentioned really on our cash EBITDA metric. As you point out, certainly was our principal operating metric for the last 5 years, given the difficulties we had with capitalization in years gone by. I think we will move to -- not as a cutoff completely, but we will move to something that is closer to pure operating profit adjusted EBITDA number that certainly both presenting that on those numbers and on a per share basis will become something we do quite routinely; one, because we don't have that impact of capitalization anymore, but also because of the capital allocation decisions that we're making are making marked improvements in our shareholder returns, and they're illustrated by the earnings per share that we're generating. You can see in the numbers today, our statutory operating profit, basic earnings per share is up compared to the prior period. And our adjusted earnings is relatively flat, which reflects that offset of amortization or the decrease in amortization. So yes, I think we will transition towards a metric that is closer to adjusted earnings and per share earnings over the next few months and years.
Steven Brown: And the question for Freedom. One of the key differentiators, I would say, probably top 1 or 2 points is venues that have multiple locations and how you administer that. It's very complicated when you have hundreds of employees running different restaurants, maybe they're working in the retail stores as well and how you manage the product setup, the employee setup, all the controls. And we have a client -- we have a lead right now. We're working a proposal where we're up against a stand-alone point-of-sale provider. And they would install -- say the place has 12 restaurants. They would basically install 12 different systems in there, and the client would have 12 different sets of products, 12 different sets of employees. In Freedom, you can run all that as one universe with 12 locations as part of that universe, and very, very elegantly. That is a major differentiator and something that is really not found in many products on the market. And when you're trying to streamline your operation, manage efficiently, manage your inventory of your products, manage your staff, it is absolutely a key differentiator in how all that works. And it's not just we're covering the bases with features, which a lot of the stand-alone point-of-sale providers are really good, but the depth of this product because of its history. If you can run the food system at Walt Disney World, which we're still doing today with the legacy product, the legacy version, the functionality that is in that system is extraordinary. And so when you're doing a demo, it's not a top line demo. They're asking very complex questions that we can answer on the fly. And so we are very differentiated in the market. And I think that is -- as customers are discovering the quality that's there in a full SaaS model, I think it's really propelling our win rate and the interest in the product. And every customer has food. I mean there are -- everybody has food. The only exception is maybe some of them outsource it to, say, a Sodexo or a Host Marriott or HMS. Some of them, not many, but a few do, but all of them have food and retail. In fact, we just got our first win with one of those names I just mentioned that is the outsourced provider at a rather large venue operator here in the United States. That third party actually is signing with us for Freedom. And you can imagine Sodexo, HMS, all those different companies, how many locations they have. And so you start to make an impression with these. I think the opportunity is beyond just our typical theme park ski resorts and in any of those venues they might serve as they see the product and appreciate its capabilities. And it's not an old product with these functions and some of the products we're competing with are quite old. It is fresh, fresh architecture, fresh API, fresh user experience, mobile ordering, kiosk ordering, all built in. The legacy products that are out there, even if they're SaaS, you've got to go find a partner to build your kiosk, find a partner to build your mobile ordering. They don't have it like we do, where you can handle multiple venues on your mobile ordering, handle their season pass discounts, handle their season pass entitlements, do all the things you do in the venue. It's different than selling a point of sale to a restaurant that's on the street corner. It's a different ball game. And we are highly differentiated in that space. There are only 2 or 3 other products that could come close to what we're offering. And it is ubiquitous to use that word across our customer base. Some of the clients only have a couple of terminals. They're not the most interesting ones, but it's easy to deploy. We can handle those. Most of them have 12, 15, 20, 30. One we're dealing with right now has 100 terminals across a relatively large opportunity. So we're going to see that as a very important cross-sell for us. When I look at the one win we've mentioned a couple of times for the theme park here in the U.S., when we look at the revenue from ticketing and the revenue from the food and retail, they're equivalent. Our revenue is equivalent. So we've doubled the check size on that particular customer. Typically, in a venue, if they sell whatever it is, $100 million in tickets, they typically sell about $100 million in food and retail, roughly speaking. So essentially, it gives us the opportunity under the same SaaS model, percentage of revenue model to double the check average. And there's a little bit more competitive pricing on the food and retail side than there is maybe on ticketing, but we're still getting, on average, well above 1% of revenue on all of these deals. So it's going to be a really good long-term play for us.
Operator: And our final question is from Richard Jeans from Hardman & Co.
Richard Jeans: Thanks for the presentation. Excellent presentation. You recently launched the accessoPay 3.0. Perhaps you could give some color on the long-term digital payments strategy. That's my first question. I got -- I think I've got 3 questions. The second one is on Brazil, the disposal of -- does that have any implications for showcase more broadly? And thirdly, on -- just wondering what your -- do you see any growth opportunities in virtual queuing and Ingresso, could you give a bit of color about where the growth potentials is in virtual queuing in Ingresso?
Steven Brown: Yes, let's go backwards. So virtual queuing in Ingresso, absolutely. It's really important that we continue to think virtual queuing is very relevant for us. It is a very relevant product. We have a lot of customers using it, customers that love the product. And we continue to see an opportunity there with -- we're currently working on an operator right now to extend their -- to extend into other venues within large operator. So there are -- there's still plenty of demand for the product. It continues to really have no competition other than someone doing a manual risk band system that is not tech forward and does not offer the same revenue opportunities or features that we offer. And although we don't have the main IP anymore, the sort of general one, we have a lot of individual IP. In fact, we just had one granted in this period, another patent granted. We've got these sort of Easter eggs of patents that even though you can handle -- maybe handle the basic system yourself with wristband or some basic technology, you start getting into the use cases that are unique, you start running into our patents. And so I think we've still fenced ourselves relatively well from delivering the same level of product that we have. You can certainly do -- make a do-it-yourself product and get buy, but not with the same level of customer support features and revenue-enhancing features that we offer. So I think there's still opportunity there. Ingresso as well. Ingresso, as you will see, did well in the half of the year. And when operators are slightly challenged on volume as they were perhaps in June, they look to these channels where they can get quick promotional value. They haven't got to build a TV commercial or build social media ads, they can go to channels like Groupon, for example, and immediately push out to millions of customers, these promotional officers with a click of a button. And that's what Ingresso gives them as the outlet for that kind of distribution. And so you kind of see the inverse effect. When things are really great and booming, even in the Westin theater business, those operators will give us very few seats because they can sell them at full price. They don't need promotions. They don't want to pay a commission. When things are running normal, it's kind of a balanced model. When things get a little tight, we may suffer a little bit on this at the Passport side, but we get the volume now on the Ingresso side. So Ingresso will continue to grow. I think our priority there, as I just reviewed with the team this last week is, it's all about efficiency and margin. And we don't want to have a -- we don't want to take a $20-plus million business with the margin it has today to be a $40 million business with that margin. I want a $20 million, $25 million, $30 million business with a good margin. And so the priority there is really around the types of customers we bring in, the types of opportunities we pursue. And importantly, how we're helping our broader customers with Paradox or Passport or ShoWare, Horizon, how we're helping them with their distribution as a strategic advantage to our competitors. So Ingresso will continue to be really important for us, and we'll continue looking for ways to make it as efficient as possible from a margin and profitability perspective. Going backwards, I think, Matt, the second question was for you.
Matthew Boyle: That was on the Brazil disposal, I think, Richard. And so we -- it's an increasingly difficult market to operate for us, and it was exclusively operating accesso ShoWare for us. So we took the decision to exit that market. It was relatively small amounts of revenue, so EUR 0.6 million on an annual basis, EUR 0.3 million in the comparative period for the figures shown. It doesn't preclude us operating any of the other products in the space, but ShoWare, we don't operate in that region because of the difficulties we faced in operating. A relatively simple decision and sell to former management.
Steven Brown: And what was the first question again, Richard, I'm sorry?
Richard Jeans: How you recently...
Steven Brown: One of my favorite things to talk about because we haven't unfolded this a lot in our presentations. But if you look at the competitive set that are out there, some of the newer companies that are coming along, particularly on e-commerce, they're largely going into the payment space. And some of them are honestly not making money on the product, making all their money on payments. And so we've been taking a hard look at how we approach payments and how we bring that to market for our customers, because when you think about the aggregate volume that we're producing, we can get really good deals from payment processors, probably better deals than our customers can get on their own as an individual going to their local bank for merchant processing. And so we have been evaluating -- it's a very competitive landscape. It can be -- the payments can be a little confusing or a lot confusing. And what you see is not always what you get. So we've done a lot of work this last year of evaluating all the different providers that we could work with, talking to their customers, really understanding their tech set. We have a lot of experience with all of them, but evaluating what business model will work for us to bring the payments opportunity into our offering and how we would bring that to market. So someone signing up for Freedom, for example, can have the option to add the payments. And I think in most cases, we will be more competitive than whatever they're currently paying. And it could end up adding 30, 40, 50, maybe more basis points to our pricing model. That's what we're seeing competitively from others out there, and that's what we see from the providers we talk to in terms of what that margin is. And importantly, it gives the customer a better rate at the same time. We end up on the service side. Those become our customers. So we're the first-line support. We're handling all of that. But we're already doing most of that for our customers anyway. And so can we bring that full circle, give them that full offering? It allows us to, I think, be pricing competitive on our product and on payments. And if you're looking at some of the benchmarks out there, and we've looked at plenty of them, some of them perhaps acquisition opportunities, some of them publicly traded that have information out there, you'll see the payments commissions or payment margin to be pretty significant in their P&Ls. And on our end, it's not something that we have really built in structurally to our process. And we're looking to change that and to evolve that into something that's more meaningful in our business. And I think that there's several million dollars of opportunity there as it can take hold over time. Obviously, bringing new customers in, getting them on our platform, our payments platform, going back across our customer base and working to convert them over with better rates, we can bring more margin in, again, back to the basket size conversation. But until we have all the -- I's dotted and T's crossed, I don't want to lay out exactly what we're thinking, but we're very close on having a commercial arrangement sorted on that front and being able to offer this to our customers in the very near term.
Operator: Thank you. There are no further questions. I will now hand back to the accesso team for closing remarks.
Steven Brown: Well, thank you, everyone, for joining us. Hopefully, we answered the majority of your questions. If you think of things that are still burning questions, feel free to reach out to us. We'll be more than happy to answer. As I say, this is always the best part of the presentation is really getting at what you're interested in. So thanks again, and we will speak to you all again in a few months.